Executives: Kevin A. Lobo - Chief Executive Officer, President and Director David K. Floyd - Group President of Orthopaedics William R. Jellison - Chief Financial Officer and Vice President Katherine A. Owen - Vice President of Strategy & Investor Relations
Analysts: Kristen M. Stewart - Deutsche Bank AG, Research Division David L. Turkaly - JMP Securities LLC, Research Division Michael N. Weinstein - JP Morgan Chase & Co, Research Division Robert A. Hopkins - BofA Merrill Lynch, Research Division Matthew J. Dodds - Citigroup Inc, Research Division Jason Wittes - Brean Capital LLC, Research Division Derrick Sung - Sanford C. Bernstein & Co., LLC., Research Division Raj Denhoy - Jefferies LLC, Research Division Glenn J. Novarro - RBC Capital Markets, LLC, Research Division David H. Roman - Goldman Sachs Group Inc., Research Division David R. Lewis - Morgan Stanley, Research Division Michael Matson - Needham & Company, LLC, Research Division Matthew Taylor - Barclays Capital, Research Division Lawrence Biegelsen - Wells Fargo Securities, LLC, Research Division Ravi Misra - Leerink Swann LLC, Research Division Bruce M. Nudell - Crédit Suisse AG, Research Division Kaila Krum Steven M. Lichtman - Oppenheimer & Co. Inc., Research Division Joanne K. Wuensch - BMO Capital Markets U.S. Jeffrey D. Johnson - Robert W. Baird & Co. Incorporated, Research Division Matthew S. Miksic - Piper Jaffray Companies, Research Division Joshua T. Jennings - Cowen and Company, LLC, Research Division Frederick A. Wise - Stifel, Nicolaus & Co., Inc., Research Division
Operator: Hello and welcome to Stryker's Third Quarter 2013 Earnings Conference Call. My name is Mayesha. I will be your operator for today's call. [Operator Instructions] This conference call is being recorded for replay purposes. Before we begin, I would like to remind you that the discussions during this conference call will include forward-looking statements. Factors that could cause actual results to differ materially are discussed in the company's most recent filings with the SEC. Also, the discussions will include certain non-GAAP financial measures. Reconciliation to the most directly comparable GAAP financial measures can be found in today's press release that is an exhibit to Stryker's current report on Form 8-K filed today with the SEC. I will now turn the call over to Mr. Kevin Lobo, President and Chief Executive Officer. You may proceed, sir.
Kevin A. Lobo: Good afternoon, everyone, and welcome to Stryker's Third Quarter 2013 Earnings Call. Joining me today are Bill Jellison, our CFO; and Katherine Owen, Vice President of Strategy & Investor Relations. In view of the recently announced definitive agreement to acquire MAKO Surgical, we have also included David Floyd, Group President of Orthopedics. And following my opening comments, David will provide some additional perspectives on this pending transaction. Bill will then offer details on our quarterly results, and we will wrap up with Q&A. Turning to our Q3 results. Sales, excluding currency and acquisitions, accelerated to 6.1% versus 2012. With the same number of selling days in the quarter, this represents strong organic sales growth with all 3 segments: Reconstructive, MedSurg and Neurotechnology and Spine contributing to the sales momentum. This growth was also balanced geographically, with the U.S. up 6.5% and international increasing 5.5%. In the U.S., Reconstructive growth was powered by hip gains of 9.3% and Trauma and Extremities of 22.7%. Trauma and Extremities continues to roll, having now reported 7 quarters in a row of double-digit growth, including a 39% increase in Foot & Ankle this quarter. U.S. MedSurg saw a pickup in Endoscopy at 10.5% as OR integration sales improved, but was offset by a decline in Instruments due to the Neptune recall and challenging comps from System 7 sales in 2012. We expect Instruments to return to positive sales growth in the U.S. in Q4. U.S. Neurotechnology and Spine was driven by 14% sales growth in Neurotechnology as each of its businesses registered double-digit gains. Shifting to our o U.S. sales, for the second consecutive quarter, our European business registered positive year-over-year growth and is growing at market rates. Emerging markets continue to do well, with China, Brazil and India delivering very strong double-digit growth. We continue to deliver strong operating cash flow and are up 14.4% year-to-date. Our strong balance sheet has enabled us to pursue an acquisition strategy that is expanding our sales footprint into some of the highest growth and most innovative segments of med tech. With our recently announced agreement to acquire MAKO Surgical, we believe we are well positioned to unlock the long-term potential for robotic-assisted surgery, which will further define Stryker as a leader in orthopaedics. We are also able to continue to grow our dividend while periodically executing share buybacks. Moving down the P&L. At 68.8%, our adjusted gross margin ramped considerably from the prior year due in part to continued benefits being realized from our previously discussed 5-year plan to drive greater operational efficiencies. R&D was up significantly in the quarter at plus 19%, reflecting both timing and continued commitment to investing for the future. Our adjusted SG&A percent of sales was slightly lower in the quarter compared to Q3 last year despite costs related to a distributor transition in Asia, which adversely impacted our per share earnings by roughly $0.03 in total. On a per share basis, Q3 adjusted EPS was $0.98, reflecting solid organic sales growth and gross margin expansion, partly offset by heightened investments in R&D and one-time SG&A costs. We are narrowing our full year organic sales growth guidance to 4.5% to 5.5%, which once again raises the lower end of the range as we did following Q2 results. We remain comfortable with and confirm our full year adjusted EPS estimates of $4.20 to $4.26. Before I turn the call over to David, I'd like to make a few comments regarding our recently announced plans to acquire MAKO Surgical. As many of you may recall from our recent analyst meeting, we are disciplined regarding the metrics we use to evaluate our acquisition targets and most of our deals fall within our guidelines as it relates to deal returns. However, occasionally we look to invest in areas that we believe can deliver breakthrough innovation. And these are, by definition, bigger bets with bigger potential rewards. MAKO clearly falls into this category. And David will now elaborate more fully on this. David?
David K. Floyd: Thanks, Kevin. Good afternoon, and I appreciate the opportunity to join today's call and provide you with additional perspective regarding our enthusiasm with the recently announced signing of a definitive agreement to acquire MAKO Surgical. I want to begin by describing our view on the future of reconstructive orthopaedic surgery. We firmly believe that innovation will drive growth, and that meaningful differentiation in technology and in business models can drive share gains. The combination of MAKO and Stryker provides an excellent platform for achieving this. As for innovation, we believe that the key opportunities in joint reconstruction are procedural advancements, significantly improved patient experience as documented in outcomes and a new generation of implants. Robotics, and specifically the MAKO platform, is uniquely able to deliver in all 3 areas. Procedural innovation must address 3 key factors. First, the ability of an implant system to enable consistently reproducible superior outcomes in a variety of surgical settings in varying levels of surgical team skill and experience. We think the keys here are bone preparation, implant placement and joint alignment and balancing. This is the most obvious demonstrated capability of robotics in orthopaedic surgery and a key driver of the near-term value proposition. Second, advancing procedural efficiency must involve minimizing soft tissue disruption and other factors that increase postoperative pain and complications. Third, significantly improving overall procedure flow and process efficiency will be essential. However, simply making the surgery faster without making it better has limited value over the long term. MAKO has demonstrated that robotics can deliver on many of these factors of procedural innovation, and shows promise on delivering on all of them as the technology platform advances. Turning to the other opportunities for innovation. These 3 elements of procedural advancement are designed to address not only the needs of the surgeon and the health care system, but we believe will deliver enhanced patient experience and outcomes, especially in knee replacement surgery. MAKO is already demonstrating very encouraging results in unicompartmental knee surgery, and we are convinced that similar advances can be achieved in total joint replacement. Finally, we are convinced that long term clinical results can be further enhanced by the next generation of implants. The combination of consistently reproducible precision in bone preparation offered uniquely by robotics, coupled with new implant designs that take advantage of robotics as an enabler, will lead to a significant step forward in improved patient outcomes, especially for the increasingly younger patients that seek joint replacement surgery. Such implants are clearly years from commercialization but are a meaningful factor in the long-term value of this platform. As many of you know, I've been involved in the orthopaedic market for over 2 decades and during that time have seen a variety of innovations in joint replacement surgery. And while I am very proud of what we have achieved in partnership with surgeons to innovate in ways that have significantly improved patient outcomes, the long-term potential offered by robotic-assisted surgery holds the promise of transforming reconstructive surgery. As the pioneer in this field, MAKO has demonstrated extraordinary and rapid success in a business that has classically relied on incremental changes. We believe Stryker's long history in joint reconstruction, capital equipment and surgical instruments, along with synergistic engineering resources focused on robotics, will help further advance this platform and its commercial success. Our Reconstructive implants have a strong reputation with surgeons and highly successful clinical outcomes. Additionally, we have a long history in selling capital to hospitals, and we understand the unique aspects of the sales model. Combined, this should help ensure we can both expand penetration for robotic-assisted surgery in joint reconstruction, while also continuing to leverage our know-how and MAKO's R&D pipeline to help unlock the longer-term potential in the broader orthopaedics market. I look forward to taking additional questions at the end of today's call and will now turn it over to Bill to discuss our Q3 financials in more detail.
William R. Jellison: Great. Thanks, David. Sales growth was positive by 4.8% in the quarter, including a negative 2% impact from FX translation. Constant currency sales growth was a positive 6.8%, which includes organic growth of 6.1%. There is virtually no difference in selling days for the quarter. EPS on a GAAP basis for the quarter ended at $0.27 per share versus $0.92 per share last year in the third quarter, while adjusted earnings per share was $0.98 for the quarter versus $0.97 per share for the third quarter last year. This quarter's EPS includes negative impacts of approximately $0.05 per share from FX and $0.03 per share from the med tech tax. The income statement is exposed to both transactional and translational FX risks, while the balance sheet is just exposed to translational FX risk. In the past, we have only hedged transactions once they have occurred. However, in October, we have begun to establish a layered transactional hedging program, which will help us mitigate some of the transactional volatility caused by changes in FX rates. This program will start to have some effect in the first quarter of 2014 and will be more fully in place by the end of next year. We are also implementing a net investment hedging program this month, primarily structured to mitigate some of the translational risk associated with our more liquid assets that are held in euros. The most significant non-GAAP adjustment in the quarter are primarily related to a $213 million (sic) [$313 million] increase in the charge associated with the voluntary recalls of Rejuvenate, ABG II and Neptune. These charges may increase or decrease over time as additional facts and assumptions become more refined. No potential insurance proceeds, proceeds that may be available to cover some of this potential cost, have been included at this time. While looking at sales in the quarter, our organic growth of 6.1% was comprised of a positive 7.1% from volume and mix, with price negatively impacting it by 0.9%. Acquisitions added 0.7%, while FX had a negative 2% impact due to significant weakness in both the Japanese yen and the Australian dollar compared to the same period last year. Looking at our segments. Reconstructive represented 44% of our sales in the quarter. Sales of Reconstructive products were up 6.5% as reported and grew 9.2% constant currency. U.S. Reconstructive sales grew 9.9% in the quarter. Trauma and Extremities had another excellent quarter in the U.S., with sales increasing 22.7%, led by new products, sales execution and strong growth in Foot & Ankle. U.S. hips and knees had strong growth in the period of approximately 9% and 4% in the quarter, respectively, recognizing that hips benefited in part from easier year-over-year comparisons. Knees continue to feel the impact from the absence of our ShapeMatch Cutting Guides, but the growth in this category still appears to be in line with the market. Our international Reconstructive business was up 8.2% in constant currency and had organic growth of 5.3%. All major regions posted positive gains. However, knee growth internationally was negatively impacted this quarter by a distributor transition in Asia affecting some smaller countries in the region. Outside of Asia, we achieved positive year-over-year gains in all regions. Next, our MedSurg segment represented approximately 37% of sales in the quarter. Total MedSurg sales increased 1.5% as reported and 2.6% on a constant currency basis. These results were led by high-single-digit growth from our Endoscopy and Sustainability Solutions businesses. Medical had slightly positive growth, while Instruments declined in the period. Instrument sales growth in the U.S. were hindered by both the strong System 7 sales in the third quarter last year and having the Neptune Waste Management System out of the market this year. However, in the fourth quarter, the Neptune lost sales will be reflected in both periods. We look forward to getting this product obviously back on the market once we obtain regulatory clearance. Our final segment, Neurotechnology and Spine represented 19% of company sales and delivered another strong quarter. Sales increased 7.7% as reported and 10% on a constant currency basis. Growth in this segment was led by IVS and our Neurotechnology businesses, where all of these businesses posted solid double-digit constant currency growth. Spinal implant sales were up slightly in the U.S. and up double-digit internationally on a constant currency basis. Excluding the impact of Trauson, international Spine implants still posted growth in the mid-single digits. In looking at our operational performance, gross margins on an adjusted basis in the third quarter of 2013 were 68.8% compared to 68.2% in the same period last year. The rate was positively impacted by improved operating cost, efficiencies and overhead absorption as inventory levels increased in the quarter. Product mix was also favorable as Recon sales were very strong in the period and MedSurg sales experienced more moderate growth. FX and price had a negative impact on the rate this quarter. However, the impact on the gross margin rate was less than in the first half of the year. The med tech tax also negatively impacted gross margins by approximately 90 basis points in the quarter. As we look at the fourth quarter, we expect our gross margin rates to run lower than the fourth quarter of last year as we continue to be negatively impacted by the med tech tax, and we also expect operational improvements to be dampened in the period as we bring down inventory levels and achieve less overhead absorption in that period. Research and development expenses increased by 70 basis points to 6.3% versus 5.6% last year in the quarter. The 19% increase in R&D spending over last year reinforces our commitment to invest in areas where we believe will help us achieve above market sales growth in each of our key product categories. Our R&D spending this quarter resulted in an overall higher level of operating expenses in the quarter. However, we believe our total operating expenses will be lower as a percentage of sales in the fourth quarter compared to both the third quarter and last year's fourth quarter, despite our additional investments in R&D. Selling, general and administrative costs represented 52.8% of sales in the third quarter. However, this included approximately $313 million of costs related to the Rejuvenate, ABG II and Neptune recall. On an adjusted basis, SG&A expenses were $818 million or 38% of sales in the third quarter of 2013 versus 38.2% in the prior year's third quarter. SG&A included charges taken in various countries in Asia to transition away from a key distributor in that region, which negatively impacted these expenses by approximately 0.5 percentage point this quarter. Operating margins on an adjusted basis were 22.8% in the third quarter, slightly lower than last year in the same period. The rate was negatively impacted by the med tech tax, lower prices and higher R&D spending. However, those impacts were nearly offset this quarter by operational benefits and favorable product mix. Other expenses in the third quarter were $13 million compared to $6.4 million last year in the third quarter. This increase in expense resulted primarily from lower interest income due to lower interest rates and slightly higher interest expense from our increased borrowings. Our reported tax rate for the third quarter was 24.8%, while the adjusted effective tax rate was 22% for the third quarter, which is consistent with our year-end expectations. This compares to a 20.2% adjusted effective tax rate in the third quarter of last year. Looking at the balance sheet, we ended the quarter with $5.1 billion of cash and marketable securities, which is an increase of $853 million compared to year end 2012. We also have $2.8 billion of long-term debt on the balance sheet. From an asset management standpoint, accounts receivable days ended the quarter at 57, which are 2 days better than they were last year in September. Days in inventory finished the quarter at 185, which was an increase of 19 days sequentially and 2 days when measured against the prior year quarter. Inventory levels were built in the quarter. However, we do expect to reduce those levels in the fourth quarter and still show a year-over-year improvement of a few days at year end. Turning to our cash flow. We had a strong cash generation in the first 9 months of the year, with cash from operations of $1.214 billion compared to $1.061 billion in the prior year. That's an increase of 14.4% over the first 9 months of last year. Share repurchases were -- in the first 9 months of 2013 were approximately $252 million during that period, and we still have nearly $750 million available for repurchase under our current authorization. Based on our solid sales achievement in the first 9 months of the year and the current economic and market conditions, we are projecting organic growth, or constant currency growth x acquisitions, in a range of 4.5% to 5.5% for the year. If foreign currency exchange rates hold near current levels, we anticipate net sales will be negatively impacted by approximately 1.5% to 2% in both the fourth quarter and for the full year of 2013. As Kevin indicated previously, we are maintaining our guidance for adjusted diluted earnings per share in 2013 of $4.20 to $4.26. Thanks for your support, and we'd be glad to answer any of your questions that you may have at this time.
Operator: [Operator Instructions] Your first question comes from Kristen Stewart with Deutsche Bank.
Kristen M. Stewart - Deutsche Bank AG, Research Division: I just wonder if you could spend a little bit more time on the MAKO transaction. I know you guys gave some color on just the impact from a financial standpoint for the next year, just thinking forward. Can you maybe just go over what you guys are thinking in terms of sales synergies and cost synergies related to the transaction?
David K. Floyd: In terms of sales synergies and cost synergies, I think this is really a sales synergy driven value proposition. When we take a look at our implants and the long clinical successful history of our implants, combined with what MAKO has demonstrated in terms of robotics and the ability to precisely position those implants, I think combining those 2 gives us significant revenue synergies over time.
Kevin A. Lobo: Yes, Kristen, at this point also we -- we've obviously announced the signing, but we haven't yet closed. And so we really don't want to get into too many more descriptions of detailed synergies. That's something that we'll be able to share much more after we close the transaction.
Kristen M. Stewart - Deutsche Bank AG, Research Division: Okay. And then, I guess, can you just speak maybe a little bit more on the -- just overall orthopaedic landscape, specifically to hips and knees, and whether or not you think you're seeing a strengthening of the market as we enter into the tail end of the year? And maybe just give an update too on the performance within Europe.
David K. Floyd: In terms of the market, particularly as we see in the United States, the third quarter does show some promise, particularly in knees. The knee volume seems to be improving. Ours certainly has. And as we watch the market, we think the knee volume has improved substantially in the third quarter over the first half of the year. And we're optimistic that we'll see some continued modest improvement in the knee volume over the fourth quarter. Hip volume has been reasonably strong over the course of the year.
Katherine A. Owen: Kristen, just one comment on the seasonality in the fourth quarter. You know that over the last few years, we have seen this trend with incrementally a little bit more seasonality in Q4 and the offset in the first quarter. Whether or not that happens in this fourth quarter, and especially in front of ACA next year, is a little bit of a guessing game. But overall, the market appears to be stable to incrementally more positive.
Kevin A. Lobo: Yes. And Kristen, this is Kevin. Related to your question around Europe, we're really pleased. This is the second quarter in a row, where we've had positive growth. And frankly, every country improved in the third quarter. Even Italy, which is the one country I've highlighted before, which has been the most challenging. It just had a very, very modest decline year-over-year. So even that has improved in its trend. So we really believe that the changes that we started to make, going back over a year from now, are really taking hold. And that's why we can now confirm that we are growing at market rates, which is clearly ahead of the goal that we have set a year ago.
Operator: Our next question is Dave Turkaly with JMP Securities.
David L. Turkaly - JMP Securities LLC, Research Division: Given that we just came out of NASS, I was wondering if I could hit you with a couple of quick Spine ones. First off, could you remind us what your MIS or minimally invasive strategy is there? And then the nice growth that you saw, do you think you'd attribute that to the turmoil from some of the big deals in this space? Or are we seeing procedures pick up?
David K. Floyd: Yes, this is David. In terms of our MIS strategy, we just launched this year the second generation of our percutaneous pedicle screw system, the ES2. And that has been a very strong growth driver for us. In addition, differentiated interbody technology. So that's been our approach on MIS. And we have been able to see better pricing and stronger growth in MIS. In terms of whether the overall procedure volume is improving, I think it's been pretty consistent in third quarter in line with the year. And I think that's -- what we've seen in Spine is that differentiated technologies can drive growth.
Operator: Our next question is Mike Weinstein with JPMorgan.
Michael N. Weinstein - JP Morgan Chase & Co, Research Division: While we've got you here, Kevin and both David, maybe just spend some more time on MAKO. I think people are probably a bit surprised in the proxy to see that it was a one-on-one conversation, Kevin, between you and MAKO and that there weren't other parties involved. So can you talk a little bit about, a, how you came about the valuation for MAKO? And b, how people should think about a return on the investment given the purchase price?
Kevin A. Lobo: Yes. So MAKO has clearly been on our radar screen for some time. And we believe in the power of robotics. It's something that, I think, we've shared pretty openly with the analysts that we believe in the potential. So yes, the proxy MAKO just issued -- their preliminary proxy for those of you that are wondering what Mike's asking about. And in that proxy statement, you can see the cascade of events, which started with me approaching their CEO in early August. And we obviously moved fairly quickly through the process to actually consummate a signing of a deal. And for us, we really see this, as David earlier indicated, as a potential game changer in reconstructive surgery, not just for their uni application, but clearly beyond that. And I think David outlined all of that rationale. So for us, as you read that time line, you'll understand that we had a chance to go in and do our due diligence. And we feel that this is going to be a good deal for Stryker over the long term. Clearly, the price represents a premium, but we feel that over the long term, this will deliver very strong returns for Stryker. It will differentiate us in the marketplace and will really unlock the potential. And as you know, in many procedures, the satisfaction level isn't quite as high as we would like it to be. We believe robotics will be a key enabler to be able to meet that need.
Michael N. Weinstein - JP Morgan Chase & Co, Research Division: Okay. Just one follow-up then. Can you maybe shed some light on the pipeline of the products coming out of MAKO, particularly from the -- that they just bought the Pipeline piece of the story? So can you just talk a little bit about what might be in Pipeline's pipeline if you follow that. And then just -- maybe just another one, just could you spend another minute on the distributor transition in Asia because obviously that impacted the business this quarter.
Kevin A. Lobo: So obviously, when we signed with MAKO, we were very well aware of the Pipeline transaction. It was well in process. And at this point, I really don't want to get into a lot of details. Again, between signing and closing, I would rather just let you know that we feel very good about -- of that acquisition. We believe that, that complements MAKO very well and will be a complement to Stryker. And I'll just leave it at that for now. Related to distributor transition, so small market countries in Asia, where this happens in our company from time to time, where we have to go through these transitions. And it's unfortunate, but we're actually changing out a distributor in some small market countries. So obviously, it does not affect China, it does not affect India, but some small market countries in Asia. And as a result of that transition, we've had to take some charges in the quarter.
Operator: Our next question is Bob Hopkins with Bank of America.
Robert A. Hopkins - BofA Merrill Lynch, Research Division: So just to start, I have a follow-up on the hip and knee markets, and I appreciate your comments. But I was just wondering if you could share any anecdotes you're hearing from the field in terms of what's driving the incremental improvement in the market. And I know there's some easy comps here, but clearly things feel a little better. So any anecdotes from the field or any sense from you guys as to what the drivers are of this improvement in hip and knee volumes?
David K. Floyd: This is David. I've been watching this for a long time, and it can be hard to explain. It seems like all of a sudden the knee patients stay home. And then all of a sudden, they show back up. But what we've seen, I think, over the last couple of years is a little bit more consistency with hip patients because quite frankly, it's a little bit harder to delay hip replacement surgery just from a lifestyle standpoint. Knee replacement patients do have some options to sort of delay the surgery. They ultimately need to have it. And I think economic insecurity and uncertainty about insurance coverage have kept some patients on the sidelines. It's possible that either they have just gotten to the point where they have to have the surgery or, as they've gotten just a little bit more comfortable with the future, they've come back. But that's -- you asked for anecdotes, and so you got some anecdotes.
Kevin A. Lobo: Yes, but it's one quarter. So obviously, we tend not to get too discouraged when we have a soft quarter. We tend to not get too encouraged when we have a strong quarter. But we do believe that the market is gradually improving. And it's gradually improving. It's not spiking. But we believe that from what we're hearing that the market is gradually improving.
Robert A. Hopkins - BofA Merrill Lynch, Research Division: Okay. And then one follow-up on MAKO. As you kind of did your return calculations, can you give us a sense over time as to how much market share you need -- you think you need to take in order to get this to be a positive return? I'm just kind of curious as to some of your assumptions there. And then I was also wondering if you could describe what kind of happened to your own internal program and what caused you to kind of shift from an internal focused program to going out and buying MAKO?
Katherine A. Owen: Bob, I'll take the second part of the question. And as it relates to the area, we've long talked about having a significant interest in robotic-assisted surgery in any type of technology, whether it's cutting guides, navigation, where we play roles in both those markets that kind of assist the surgery. And we used the learnings and our understanding of that market and looked at the MAKO technology and really believe the value proposition, by combining the 2, was going to really allow for differentiation in the market. And as David alluded to, market share gains that are not within the norm that we traditionally see. Or put another way, we're looking for, over time, meaningful share gains. That was really how we thought about it as it related to our own internal analysis of the robotic space.
William R. Jellison: And also maybe just a follow-on comment on that, Bob, as well. From an assumption perspective, obviously, we have a number of different assumptions that are included in the broader-based model. We're comfortable with those. We're comfortable with the levels that they're delivering on from an overall discounted cash flow analysis for us. The immediate first or first few year returns are obviously lower for this type of business because it's at a very early stage. But we think that this is a game changer within this category for us, and we think it's a great fit in our broader-based portfolio.
Operator: Your next question is Matthew Dodds with Citicorp.
Matthew J. Dodds - Citigroup Inc, Research Division: A couple of questions. First, Kevin, Neurotechnology, that business also did really well. What's your take on how the market's doing there? I assume you're gaining share, but what's your view on the overall market?
Katherine A. Owen: Maybe I'll just jump in there. We are really pleased with the performance within our Neurotechnology group. And clearly, Neurovascular is continuing to see very strong momentum. A lot of that is what they've been able to do in the coiling market, which is about 40% of that segment. We've launched a number of new products there, standard, long, nano-sized coils. And we're now just in the process of launching the Target XL. And that's a fatter, larger diameter coil. And we've been seeing nice pull-through from that as well. We've had a number of other product launches within that segment. So that's really been the biggest driver of the performance overall in that space.
Matthew J. Dodds - Citigroup Inc, Research Division: And then one quick follow-up. On Trauson, how has that gone? I know you gave a little bit of a breakout of that growth in acquisitions. How has it gone now, a couple of quarters in?
Kevin A. Lobo: Yes. So far, so good is what I'd say, Matt. The Trauson momentum is really consistent with our plans and our acquisition model. So we're really pleased. In China, we have maintained the sales momentum that had existed prior to the acquisition. We still have work to do in terms of getting Trauson sold outside of China. And I'd say, we knew that, that was going to take us a bit of time because we had a lot of product registration issues, and we have to get the distribution channel sorted out. So that's going to take a little longer. But certainly within China, we're very pleased with the momentum. And by all accounts, whether it's R&D, whether it's the distributor channel, whether it's customer sales and market share, by every measure, we're sort of on track right now.
Operator: Your next question is Jason Wittes with Brean Capital.
Jason Wittes - Brean Capital LLC, Research Division: Two questions. One, if I could just push a little bit more on the hip and knee market, is it possible to break out how much of the growth came from revisions versus primaries in both hips and knees?
David K. Floyd: I think it's fair to say that our revision growth is higher, substantially higher than the primary growth rate just because of the nature of the procedures.
Jason Wittes - Brean Capital LLC, Research Division: Okay. But I mean, is that -- if you look at where the growth's coming from, are you saying it's equally distributed or it's coming a little bit more from the revision side than the primary side? I guess that's what I was trying to ask.
David K. Floyd: The growth is across both. So we have good, strong, healthy growth in both our primary and our revision platforms. The growth rates are typically higher on the revision side, but we had strong growth across both.
Operator: Our next question is Derrick Sung with Sanford C. Bernstein.
Derrick Sung - Sanford C. Bernstein & Co., LLC., Research Division: Kevin, we heard earlier this week from Synthes that they in their trauma business were seeing some pressure from low-cost or value-oriented competitors here in the U.S. And obviously, your business in trauma is doing quite differently here. You're doing very well. But I wanted to get your perspectives on what you're seeing in terms of these sort of low-cost generic orthopaedic manufacturers in the U.S.? Do you think it's a long-term threat? Is it an opportunity for you? And might this spread to other areas like hips and knees or in spine?
Kevin A. Lobo: So I'll start the answer and then I'll pass it to David. What I can tell you is, we have not really seen any of this. And we did see the comment made. And quite frankly, we're puzzled by it. It really has not affected us. As you see, our double-digit growth has been very consistent, very steady. And obviously, a spectacular quarter this year in Trauma and Extremities. So if it was something meaningful, I think we would have noticed it. It would've affected our growth rate. So thus far, we're not seeing it. But maybe David, if you want to add something.
David K. Floyd: Yes. I think what we see from our customers is they continue to put a great value on differentiated technology, on better instruments and on high service levels. So we quite frankly just don't see much of an opportunity to go in with some sort of low-cost generic model in trauma. We occasionally see things in ambulatory surgery centers for simple wrist fractures. But by and large, in the Level 1 trauma centers and even in the community hospitals, the full product line and high service continue to be very, very important.
Derrick Sung - Sanford C. Bernstein & Co., LLC., Research Division: Okay. I have a follow-up, just going back to MAKO, as a company you have a lot of experience in selling capital equipment. And I was just wondering if you could kind of give us a little bit more color on kind of what gives you the confidence that the market for hospital capital spending, that hospitals will continue to be able to spend the level that is needed for a MAKOplasty type piece of equipment, either today or moving forward. Why do you think that market can still grow? And just maybe some of your thoughts there on capital spending as it relates to MAKO.
David K. Floyd: Sure. I'd be happy to. I think it's helpful to sort of break it out into the near term, the next few years, the longer term and the future. In the near term, you have to appreciate that for most hospitals, if not nearly all hospitals, the orthopaedic service line is one of their premier profit centers. Joint replacement surgery is a highly profitable procedure and a great growth driver for the hospitals. And what MAKO has successfully done is demonstrate that with a robotic program, hospitals that have a robot and a strong robotic program have driven substantially increased patient volume and substantially improved payer mix. So those hospitals in our survey work, as we studied this, indicated that hospitals that acquired a robot and drove a strong program were very, very happy with the results and definitely felt like the capital expense was well worth it. Over the long term, however, I think what will be necessary to improve the value proposition, particularly as the way health care is paid for changes, are demonstrated superior patient outcomes in ways that not only give the patient better clinical outcomes, but superior economic outcomes. And we're confident based on the trends of the early data, as well as the promise of the platform as it develops, that robotics will deliver on both of those over the long term.
Operator: Our next question is Raj Denhoy with Jefferies & Company.
Raj Denhoy - Jefferies LLC, Research Division: I wonder if I could just ask about the Foot & Ankle performance you noted in the quarter. I think you mentioned it was 39% growth. I think that business is probably trending well above $100 million for you now. And I'm curious if you could just offer anything in terms of what's driving that growth. Is it still the underlying market is supporting that kind of growth? Or do you think that there's a share capture story happening here?
David K. Floyd: I think it's both. We do believe we're capturing some meaningful share. We also think the market is growing at a very healthy rate. This is a market that is very difficult to sort of figure out exactly how much the market is growing. It's not like major joint reconstruction where you can calibrate it pretty tightly based on reported results. But we think there's strong growth. I think the -- there's strong procedure growth. And also as we introduce new products and new technologies that yield better results, we see surgeons doing procedures that yield higher implant ASPs than the lower implant ASPs of yesterday's technology. But we do also believe we've been able to capture some share.
Katherine A. Owen: I would just make one cautionary comment though. As you start to think about Q4, just be aware of the magnitude of the year-over-year comparisons that we'll be going up against into the fourth quarter, which obviously are going to temper the growth rates from a percentage basis.
Kevin A. Lobo: That said, we still feel very bullish. This is a market that has tremendous room to expand. And obviously, the decision to create a separate business unit at the beginning of last year and dedicate sales force specifically for the podiatric surgeon is bearing fruit. And we're seeing tremendous growth with that dedicated sales force with a new call point that we frankly hadn't called on in the past.
Raj Denhoy - Jefferies LLC, Research Division: Okay. That's fair. Maybe I could just ask one about Neptune. I think you noted that next quarter will be the first quarter you won't be comping against it. And I'm curious if you could just remind us of what magnitude or how big that has been -- how big of a drag that has been for the last couple of quarters -- the last 4 quarters for you?
William R. Jellison: Sure. I mean, in the first half of the year, it was probably averaging somewhere in the $15 million to $20 million a quarter range. And in the third quarter, because again, at least the month of September had a year-over-year equal comparison, it was really July and August. There's probably only about $7 million impact in comparison for the third Q. So as we move forward into the fourth quarter, that will be obviously out of both periods.
Operator: Your next question is from Glenn Novarro's line with RBC Capital Markets.
Glenn J. Novarro - RBC Capital Markets, LLC, Research Division: Two questions. One on price. I noticed price was down 0.9% here in 3Q and in 2Q it was down 1.5%, so less pricing pressure. Was there anything specific that led to slightly less pricing pressure or is that just part of the fluctuations that you'll see during the course of the year? And then second, some of my companies are starting to go to cash EPS after they do some big dilutive transactions. Have you thought about going to cash EPS for 2014 and beyond?
William R. Jellison: Sure. So 2 questions there, both on the price and the cash EPS. From a price perspective, obviously, that can move between different quarterly periods with a strong -- especially strong sales in comparison to the prior period. I think that there's obviously less impacts associated with what's going through in any one specific quarter. I think the price increase -- or the price -- negative price impacts of between kind of 1% and 1.5% or 1% and 2% range I think is pretty consistent. And I think that, that's what we would expect moving forward. As far as cash EPS is concerned, obviously, anytime we would do an acquisition, we would take a look at both ends of it. I think as we complete the acquisition, we'll talk more specifically about kind of what we're planning on doing there. But it's at least something that we'll consider at the point in time that we close the transaction.
Operator: Your next question comes from the line of David Roman with Goldman Sachs.
David H. Roman - Goldman Sachs Group Inc., Research Division: David, in your prepared remarks, you referenced the need for both business model and product innovation. I know you've talked a little bit about the MAKO opportunity and also how the hospital landscape is changing. But maybe if you go into a little bit more specifics about what you envision business model change to actually mean? And I know, Kevin, that's been an area of focus for you in talking with investors about the evolving needs of orthopaedics. So maybe you just -- I think we understand what the hospital looks like, maybe you'd give us some perspective as to where you're going with your strategy?
David K. Floyd: Well, I think -- so first of all, I spoke of business model differentiation as opposed to business model change. One of the things we find very attractive about MAKO's business model is they sell capital equipment in order to sell implants. And that's very different than sort of the standard business model in reconstructive implants, where companies provide capital free of charge in order to sell implants. So that's -- that shows a unique model. And I think that's an example of a different kind of business model that can help drive value, growth and share gain over time.
David H. Roman - Goldman Sachs Group Inc., Research Division: Okay. Maybe just a follow-up on emerging markets. You obviously spoke a little bit about Trauson, and that's obviously a big focus for you in those geographies. And maybe if you could just speak a little more generically about the performance of emerging markets and whether we're at a point where Trauson has become additive to your overall growth? How you sort of see your portfolio emerging in those geographies and any thought on what the sustainable growth profile might be?
William R. Jellison: I'll answer that. Just from an overall perspective. Trauson obviously is a key acquisition for us in that region. We would expect that business to put forth some very solid growth performance. The numbers that we broadly talked about as far as how well the emerging markets are doing, those are all doing very well for us in the double-digit range. Obviously, even excluding Trauson, and Trauson continues to deliver right based on our overall expectations for that business. So we would expect it in the future to continue to help stimulate our broader-based emerging market growth, but we would also expect our base business to continue to put forth some very good numbers in those regions, too.
Kevin A. Lobo: Yes. What I'd say in emerging markets is, just repeat what I've said in the past. And this is Kevin speaking. That at 6% of sales at the end of 2012, that was our representation of emerging markets. And clearly, we have an ambition to move that number much higher to get into the low-teens over time. And we expect Trauson to be one of the ways we're going to get there, but also growing in the premium segment very rapidly in China, in Brazil, in India. And Russia and Turkey are 2 other priority markets where our presence today is a very small. They're markets that we frankly exited a number of years ago. And we have clear plans to get back into those markets. And in the quarters ahead, we'll have more to share in our progress in those markets.
Operator: Your next question comes from the line of David Lewis with Morgan Stanley.
David R. Lewis - Morgan Stanley, Research Division: Kevin, just a quick one for you and maybe a follow-up for David. But speaking to trauma specifically, I know you regarded -- you talked about the low price competition. But just your business momentum, I think we started several quarters talking about perhaps this was the result of competitor recalls, but you're clearly past that now. And I wonder, what do you think is driving the business here? Is it breadth of product? Is it specific distributor wins? Is it a change in your selling model? Because all we've seen is multi-quarter acceleration. So what specifically is driving this improvement and how sustainable do you see it?
Kevin A. Lobo: So this is the kind of question I'm sure David would love to answer, but I'll take a little bit of the beginning part of the question and then I will turn it to David. I mean, it's been a great story without a doubt. Frankly, it's been a multiyear process, which starts with the pipeline. So we've really completely blown out our R&D capabilities and launched a number of products that now have a broad product portfolio that can compete with Synthes, which frankly was -- none of the other players were able to do that, including Stryker, 5 years ago. So building out the product bag was a huge part of it. And frankly, our sales force execution has been just outstanding. And we have a combined sort of direct. We have dedicated reps. In some cases, we have combined reps. And under common management, we've just driven tremendous performance with outstanding execution in the field. So maybe I'll turn it to David for other color commentary.
David K. Floyd: Yes, Kevin, I think that's right. If you could summarize why we've been successful in trauma, I think it's consistent focus. This is not a business that we get excited about and then cut back and get excited about and cut back. We've had consistent focus on trauma year-over-year with a long-term plan to meaningfully build a strength in this segment. I would say the 3 key components are, as Kevin said, the product line. We have a fantastic full and complete product portfolio that continues to expand and grow and develop. Our specialized sales model, where we have increasingly trauma sales reps calling on these as opposed to full-line [ph] sales reps, particularly in the major metro area. And finally, our integrated field sales management approach. So even though we have dedicated trauma reps and dedicated trauma sales managers, our brand -- general managers are responsible for growth and bringing united fronts. So I think that focus, that product line and our sales model are delivering extraordinary results.
David R. Lewis - Morgan Stanley, Research Division: Great. And then David, maybe sticking with you. Maybe 2 questions related to MAKO. The first is, what is -- or how does an Otis strategy progress in a post-MAKO world? That's sort of Part 1. And then Part 2 is, I doubt we're going to get you to give us time lines on product approvals, so I won't go there. But can you give us any sense of what level of clinical work you think is going to be required to bring Stryker implants up on the MAKO system?
David K. Floyd: Yes, so in terms of our ShapeMatch product line, we still think that is a very strong and healthy business segment. We look forward to getting that product back on the market. It's different than robotics. And quite frankly, there won't be a robot in every hospital in the near future. It will take some time to penetrate that market. And we think there's a great opportunity for ShapeMatch as there is a continuing opportunity for our Navigation product as well. There's, I think, a good appetite for a variety of approaches for how to use computer-assisted surgical techniques in one shape or another to deliver improved patient outcomes. We think the time frame in terms of transitioning Stryker products over to the RIO platform is probably about 1 year or 2 when you consider the engineering work, development work on the robotics side and the regulatory time frame. But we'll have probably more clarity about that in the future.
Operator: Your next question comes from the line of Michael Matson with Needham & Company.
Michael Matson - Needham & Company, LLC, Research Division: We've heard from Biomet that they're planning to launch a bi-cruciate sparing knee. And I just wanted to get your thoughts on that potential opportunity. Maybe this fits into the reasons that you bought MAKO. But just do you see this as a viable product category?
David K. Floyd: Sure. Today, the benefit of a bi-cruciate retaining knee is quite frankly based on a theory. And there's some intuitive appeal to this theory. That preserving that ACL will significantly improve patient satisfaction. However, I would point out there's nothing like a broad consensus on this. And as you look at the procedure, there's significant surgical complexity. To date, in our view, it's a highly technique-dependent procedure. We are committed to evaluate technologies, which includes implants, instruments, procedural modifications and potentially robotics to enable new procedures, which could over time include bi-cruciate retaining knees.
Michael Matson - Needham & Company, LLC, Research Division: All right. And then given the high level of R&D spending, I understand there were some timing issues. But what do you -- Kevin, what do you sort of feel is the right level of R&D spending as a percent of sales? Is it going to stick around the 5.5% level or could we see it creeping up towards 6% over the longer term?
Kevin A. Lobo: So clearly, you saw the Neurotechnology business growing very, very rapidly, and they are larger consumers of R&D dollars. So our guidelines right now are in the 5.5% to 6% range. Obviously, this quarter we were a little higher than that. But I think that's a good operating assumption is we'll be in the 5.5% to 6% on an ongoing basis.
Operator: Our next question comes from the line of Matt Taylor with Barclays.
Matthew Taylor - Barclays Capital, Research Division: So just wanted to explore 2 things here. One is, if you could help us understand the timing of the MAKO transaction. I know that you approached this summer but you've been talking about it for a while. So I'm just curious if there was something you saw on the data or something that made this really the right time for you to approach them and do the deal.
Katherine A. Owen: I think with any transaction, there's always different events that lead to when you eventually pull the trigger. We've long had a interest in robotics, as Kevin spoke to on the call. Felt the time was right to approach them. Went through our normal due diligence, and that resulted in us announcing the transaction.
Matthew Taylor - Barclays Capital, Research Division: And then for the last few quarters, you talked about trying to get back to your prior growth rates in Europe in Recon. Just curious for an update there on how the reorganization is going and how the results were in Europe?
Kevin A. Lobo: I think as you all know, the implant percent of sales is much higher in Europe than it is in the United States. So this turnaround has been really been an implant story for the most part. And as I mentioned, this is the second consecutive quarter of positive growth. And it's taken a bit of time. But certainly, in certain countries, we were -- like the U.K. and France, we were well ahead. Other countries, like Germany and Spain, it’s taken a little longer, but we're now running very, very well. We've had some good conversions. We've won some tenders. So that business has really turned. And in Italy, we've had a number of problems over the last few years, and we are starting to -- that's starting to bottom out. So I would say that the turnaround has been largely an implant turnaround. And we're very pleased with our performance. That's now growing at market rates.
Operator: Our next question comes from the line of Larry Biegelsen with Wells Fargo.
Lawrence Biegelsen - Wells Fargo Securities, LLC, Research Division: One for Bill and then one for Kevin. So Bill, I may be reading too much into this, but the full year guidance implies about 3% to 6% constant currency growth in the fourth quarter, if my math is correct. Any reason to expect a deceleration in Q4? And then I just have one follow-up for Kevin after that.
William R. Jellison: No. I'd say -- I mean, our year-to-date constant -- our year-to-date overall organic growth, and it's the organic growth that we're talking about, not constant currency in our guidance. So the organic growth that we're looking at is pretty consistent with how we've run on a year-to-date basis, and we're expecting it to still be in that similar range.
Lawrence Biegelsen - Wells Fargo Securities, LLC, Research Division: That's helpful. And then Kevin, it would be helpful to hear from you how you're thinking about M&A moving forward. Should we expect kind of a pause now as you digest the MAKO deal?
Kevin A. Lobo: Yes. So as I think we've mentioned in the past, every one of our businesses are constantly scanning for acquisitions. We have a very, very strong balance sheet. So even after the MAKO transaction closes, we're still in a very, very strong financial position. So I would not assume that we are slowing down at all. I think another deal of this size may not happen in the next month or 2. And that's not typical of us, that deals of this size -- this is obviously larger than a typical deal, but I would be surprised if we didn't do another deal or 2 or 3 over the next 6 months. You should assume that we're still in the normal deal rhythm.
Operator: Your next question comes from the line of Richard Newitter with Leerink Swann.
Ravi Misra - Leerink Swann LLC, Research Division: This is Ravi in for Rich. Just most of my questions have been answered. Just a little bit more curious about any MAKO strategy in terms of o U.S. rollout, how that might or might not change in Stryker's hands?
David K. Floyd: I would say that it's probably fair to assume that there will be some meaningful synergies over time. MAKO has been very -- you see from their results, very U.S. focused. They do have some independent distributors o U.S. And that's something that we'll be taking a look at.
Operator: Your next question comes from Bruce Nudell with Crédit Suisse.
Bruce M. Nudell - Crédit Suisse AG, Research Division: As part of our diligence, we were calling around. And one of the first guys we ran into doubled his procedure volume, drove his hospital profitable with MAKO, bought a second machine and is a regional center of excellence for partials. And my question is, is just, are there any low-hanging fruit in terms of underused procedures that we should be thinking about that could really drive share gains over the coming 3 to 4 years?
David K. Floyd: I'm not sure what you mean by underused procedures. I think one of the things that we see as an opportunity for growth as we did our research on surgeon's interest in robotics, one of the things that had -- that quite frankly made them hesitant and one of the most significant things that made them hesitant was, they were reluctant to move away from implants with a long term clinical history and a company that had been around for a long time. So we think Stryker and MAKO together help address that very effectively.
Bruce M. Nudell - Crédit Suisse AG, Research Division: And I guess my follow-up, based on the strength that seems to be occurring in the U.S. market today, is we've been assuming around a 4% trend line in units as kind of the natural U.S. trend line. Should we be rethinking that in any way? I know one quarter does not a trend make. But secularly, where do you see the volume trends in the U.S. market?
Katherine A. Owen: Yes, Bruce, I think it'd probably be premature to be getting ahead and try to tweak the models to that level of specificity. I think we feel pretty good, as David had alluded to on the call, about the recon market showing signs of stability to modest improvements. Now whether that ends up being 3%, 4%, 5% unit growth, it's a little difficult to thread the needle that closely. But we feel good about the market, our position in it and the outlook. But overall, I don't think it's one where we're going to say, it's time to revise upward in any kind of meaningful way. At the risk of sounding like Debbie Downer, I just want to emphasize that we feel good, but it's not some major inflection point.
Operator: Your next question comes from the line of Matt O'Brien from William Blair.
Kaila Krum: This is Kaila in for Matt. Just another follow-up on the MAKO deal. And I understand you guys don't want to go into too much depth. But we noticed that the first offer price was $21 per share and the deal obviously closed at $30. So that assigns roughly an incremental $500 million in valuation. We're just curious as to what changed your view through that process? What sort of new product applications maybe came to mind that might validate that higher price point?
Katherine A. Owen: Yes. I think the way to think about it, as with any deal, as you start out, you have $0.01 valuation, but that's based on limited information. You go in. You do due diligence. You pressure test different assumptions. You look at how you might drive synergies. You look at potential longer term growth values. And all of those ultimately end up in the end valuation, and that's similar to what played out here.
Kevin A. Lobo: Yes. I wouldn't assume, as happens in other deals, that the first price that we put on the table is the price we were expecting to pay.
Kaila Krum: Okay. And then we will expect further, I guess, information then as to those synergies further out. But what sort of value would you assign, I guess, to MAKO's current applications as compared to potential future applications?
Katherine A. Owen: Yes. We're probably not going to get into that level of detail. Clearly, we see value in their current indications and our ability, given our broader distribution and marketing capabilities, to drive those penetrations. But as David talked about at length, we also see significant longer-term potential for robotic-assisted surgery in orthopaedic applications, more broadly speaking.
Operator: Your next question comes from the line of Steven Lichtman with Oppenheimer & Co.
Steven M. Lichtman - Oppenheimer & Co. Inc., Research Division: I wanted to ask you about the instrument business in the U.S., obviously a step down. You talked about growth in the fourth quarter, but given that the comparable doesn't ease significantly relative to Neptune, could you talk a little bit more about the dynamics there? What is going on? And what gives you the confidence that you're going to get back to growth in the fourth quarter in the U.S.?
Kevin A. Lobo: Well, if you look at the different components of it, the System 7 has a capital component and a disposable component. And the capital component was very significant. We had very significant comps in Q3 of last year. Those comps ease a little bit in Q4. So it's just simple math. If I look at the trends of how the business is performing, and we just do sort of some simple math on year-over-year. Obviously, we don't break out every subcomponent in our disclosures, but it's just doing that math that gives us the confidence. Our underlying business is performing well, and we're optimistic that we'll be able to return to growth.
Steven M. Lichtman - Oppenheimer & Co. Inc., Research Division: Okay. And then Kevin on the knee business, you didn't mention, I don't think today, the DTC. Have you sort of renewed that program? Where are you at in sort of the evaluation there on the knee side? Do you see that program continuing?
Kevin A. Lobo: So since we have the benefit of David here today, I'll ask David to respond on that.
David K. Floyd: Sure. We do plan on continuing that campaign in 2013 and into 2014, but with changes to the media mix as planned last quarter.
Operator: Our next question comes from the line of Joanne Wuensch with BMO Capital Markets.
Joanne K. Wuensch - BMO Capital Markets U.S.: Can you please remind us of the timing of the return to the market of the Neptune fluid management system as well the cutting blocks? Has there been any change in that?
Katherine A. Owen: No meaningful change. We're still hopeful sometime possibly this year, end of the year as it relates to Neptune. Obviously, it depends on the government review of the 510(k) and sometime in 2014, the earlier part of 2014 as it relates to the cutting guides.
Joanne K. Wuensch - BMO Capital Markets U.S.: Okay. And I need to throw in a MAKO question here. It strikes me that this would be -- if you call it, the long pole in the tent to a bundling strategy for Orthopaedics. Is that the right way to think about it? And is that part of the thought process in pulling it into your franchise?
Kevin A. Lobo: Well, I wouldn't say that that's the primary driver here, but as we -- leveraging our breadth and depth is the Stryker strategy. So obviously, the broader that we get and the fact we're in capital equipment and disposables, we see that as an advantage for Stryker. And obviously, this adds to that. But I wouldn't say that, that is the primary focus at all. I would go back to David's remarks earlier about how this can really transform orthopaedic surgery.
Operator: Your next question comes from the line of Jeff Johnson with Robert Baird.
Jeffrey D. Johnson - Robert W. Baird & Co. Incorporated, Research Division: I've been jumping between a couple of calls, so forgive me if I ask questions that have already been asked. But did I hear right, Bill, that there was a $0.02 or $0.03 hit in the quarter from exiting a distributor relationship in Asia? Is that about how you'd quantify it? And were those onetime in nature? Or any color you could give there will be helpful.
William R. Jellison: That's correct. It was about a $0.03 impact on the quarter, and it really was pretty much contained just this quarter.
Jeffrey D. Johnson - Robert W. Baird & Co. Incorporated, Research Division: Okay. That's helpful. And Kevin, one question I guess for you just on the broader MedSurg platform. As I see NAV3i, that you just launched, looks pretty impressive system. I don't think you've had anything out like this for 6, 7 years, since NAV2 was launched anyway. So wondering, how do I think about the impact that could have on your Instruments business over the next 12 months or so? It just seems like that's a pretty big opportunity that might be flying under the radar screen a little bit.
Kevin A. Lobo: We're really excited about this product. And this product, we haven't really sold anything yet. So the sales will start in the fourth quarter. Within our overall Instrument business, obviously, NAV is not the largest portion of that. But we really believe it's a winner, and that should help to contribute to growth over time.
Operator: Your next question is a follow-up from Matt Miksic with Piper Jaffray.
Matthew S. Miksic - Piper Jaffray Companies, Research Division: So I had one follow-up on MAKO, sorry, and one more kind of just general strategic question for you, Kevin. I think someone asked a question earlier as to how quickly you might be able to get some of your own implants up and running on the robot. And I just wanted to understand that on the knee side, obviously, there's a bit more engineering and approvals that would have to happen to those implants and my guess would be to optimize them for the robot. But is it fair to say that things could possibly move a little faster on the hip side?
David K. Floyd: My comments in terms of moving Stryker implants on the robot, I should have mentioned this, were specific to unicondylar knees and total hips because those are the applications that they have approved today. There is no total knee application today approved for the robot, so I can't give you a time line for migrating Stryker products onto a platform that doesn't exist yet.
Matthew S. Miksic - Piper Jaffray Companies, Research Division: Right. Understanding that the hips don't have the sort of physical differences between sort of a robotic implant and a traditionally cut implant. Is it possible potentially to have the hips move a little bit faster, say, than, say, unicondylar knees?
Katherine A. Owen: I think it's probably premature, Matt, at this point to -- we really tried to capture the ranges by saying post closing. And we're probably looking at 1 year to 2 before we would have our implants, whether it's hips or knees. If one of them is sooner or later in that range, I think we'll have a better sense of that as we get to closing.
Kevin A. Lobo: Yes. And then following the closing, we'll be able to share more of our perspective on that.
Operator: Your next question comes from the line of Josh Jennings with Cowen.
Joshua T. Jennings - Cowen and Company, LLC, Research Division: I guess the first question was just on Spine. I just was hoping to get some insight from you on where we're at with the Special Fraud Alert by the OIG against PODs? Are you seeing any benefit there from your business? Are your hospital customers continuing to sign up with PODs? Or are they leaving PODs? And what is your sense of next time line for the next event by the OIG or the Senate Finance Committee, et cetera?
David K. Floyd: Sure. How I would characterize the Special Fraud Alert is that it does seem to have slowed down the growth in PODs. We did see some number of customers issue policies that they would not do business with PODs. But we haven't -- we certainly haven't seen them go away. We have heard of a potential of a lawsuit against the government by PODs, trying to get them to clarify their position on that. So the battle is still going to play out over time.
Joshua T. Jennings - Cowen and Company, LLC, Research Division: All right. And then just on your knee unit, you called out a headwind from the ShapeMatch being off the market. I was just wondering if there was any headwind from 2 competitive launches. I know at your Investor Day you commented that you weren't seeing much at that point. I just wanted to make sure that, that wasn't the case for any -- you've been gaining share in knees over the last number of quarters and it was just ShapeMatch and not competitive pressures.
David K. Floyd: Yes. No, I think that's right. We have not really seen any significant headwinds from competitive knee launches. And we didn't really expect to see them. I think over time we have to see that play out over the next few quarters. Those launches are still fairly fresh. We feel very good about our knee growth. I think it's in line with the market. Maybe a bit ahead of the market. We hear noise a bit here and there about trialing of new knees, but it still seems to be minor at this point.
Kevin A. Lobo: Yes. I'd just like to add a comment that getting back to our kind of our sales force execution, which we don't talk about a lot. But if you look at our performance across hips, knees and trauma and you go back over the last 2 years, we've been pretty consistent across all 3 segments, which is quite unusual. And we haven't really talked a lot about that. And I think if you look at most companies, one part will be going well, the other part will sag. Even if you go back to Stryker's history, in the past, we would sort of really have strong growth in one, in hips, and then it would be softer in knees. And I'm really proud of our team's efforts in driving hips, knees and trauma pretty consistently quarter after quarter.
Operator: Your next question comes from the line of Rick Wise with Stifel, Nicolaus.
Frederick A. Wise - Stifel, Nicolaus & Co., Inc., Research Division: You mentioned a couple of points about the Asian distributor switch, but did you quantify how much it impacted your constant currency worldwide growth?
Katherine A. Owen: You're talking about the distributor change in Asia?
Frederick A. Wise - Stifel, Nicolaus & Co., Inc., Research Division: Yes, Katherine.
Katherine A. Owen: There was a modest top line impact, but not material enough to break it out.
Kevin A. Lobo: Obviously, it turned our knee performance because the bulk of those sales were knees. Knees are the biggest part of that business. So we've turned our international knee business to slightly negative. If you excluded that, our knee business outside the U.S. grew at roughly the same rate as our knee business inside the United States. But outside of knees, it didn't really have much of an impact. And given the size of Stryker, it's very, very minor to our overall growth.
Frederick A. Wise - Stifel, Nicolaus & Co., Inc., Research Division: But still encouraging. That's a good color. I appreciate that. And you mentioned you're back to E.U. market rates of growth, just thought maybe you'd be kind enough to remind us what that growth rate is? Is it still declining, but now you're declining less or...
Kevin A. Lobo: No, no, we're registering positive growth year-over-year. Now I wouldn't say in every country, but in the aggregate. Again, Italy is still slightly negative. But in the third quarter, every other country was positive. In the second quarter, Spain was kind of about flat, and that's turned to positive. But overall, if you look at our overall Europe business in Q2 and in Q3 in constant currency, we had positive growth. Low-single digit, but I believe that the market, based on what we can discern, is roughly growing at low-single digits. So we believe that we are growing at market rates from Q2 to Q3. Last quarter, I didn't want to celebrate too early since it was just one quarter. So I said, let's see if we can do it again in the second quarter -- in the third quarter, which we just did. So now we're feeling confident that we are growing at the market.
Operator: We have Matt Miksic with another follow-up from Piper Jaffray.
Matthew S. Miksic - Piper Jaffray Companies, Research Division: So the question, Kevin, I wanted to ask you is just around the strategy for robotic surgery and sort of more technology. There's a number of companies investing in more technology for the OR, more technology in acute care. From a distance, I guess the debate has been, gosh, this is an expensive robot and how is that actually fitting the system and how might that take cost out of the system over time in a way that's favorable to the health care system, improve outcomes and so on. I'd love to just get your view on how you think robotic surgery, I would imagine, benefits and transforms this in a way that's cost effective as well as clinically effective.
Kevin A. Lobo: Yes. So I think David touched on some of this. And we don't look at it just buying cool technology. I mean, that's not the way we look at this. We look at this is as really being able to transform orthopaedic surgery. So it can be less invasive to the patient, much more consistent positioning of the implants, more reproducible, more consistent. So you can be running more cases in a day. It can drive better efficiency. It doesn't matter where the procedures are done in the country. Today, we have tremendous variability in procedures and procedure times and the way procedures are done. So we believe that this is an enabler to bring standardization to orthopaedic joint reconstruction. And hospitals are looking for that. Patients are looking for that. And so that's -- we really believe this is a systematic change. And I think David talked a lot about sort of the overall, how profitable this service line is. And we have to demonstrate economic value. And MAKO has shown that. They don't just sell the technology. They're actually selling an economic story. And I think one of our earlier callers commented on how speaking to a surgeon, it's actually driven business for the hospital. So the hospital is concerned with making money, not just driving down costs. So if they get a better payer mix. If they're able to attract more patients. Patients who are on the sidelines who feel confident if they're -- I'm going in for surgery and it's being done with a robotic approach and a Stryker implant, I feel pretty good about the outcome I'm going to get, that will drive more business. And that's what they're concerned about. And we really believe this fits that. We will need to demonstrate over time both clinical and economic evidence. But by no means do we believe this is just a high-priced cool technology. It's much more than that.
Operator: We have no further questions at this time. I will now turn the conference over to Mr. Kevin Lobo for any closing remarks.
Kevin A. Lobo: Well, thank you all for joining our call. Our conference call for the fourth quarter 2013 results will be held on January 22, 2014. Thank you.
Operator: Thank you, ladies and gentlemen. This concludes today's conference. You may now disconnect.